Michael O'Leary: Okay, good morning, ladies and gentlemen. My name is Michael O'Leary, the Group CEO of Ryanair Holdings. I am joined this morning by Neil Sorahan, our Group CFO. 
Neil Sorahan : Good morning. 
Michael O'Leary: We are going to present to you the Q3 results for the Ryanair Holdings Group PLC. As you see, this morning’s results, as the detailed results presentation, Q&A and the press release on the website and I would encourage you all to look at here on the Ryanair.com website.  Q3 has obviously been heavily influenced by the continuing COVID travel restrictions. We expected that things would continue to recover and improve through Q3. But in the week before Christmas, the emergence of the UK and South African bans led to further severe travel restrictions, particularly in our flights through part of the UK and that had an adverse impact on the Q3 numbers.  I am going to hand you over now to Neil Sorahan, who will take us through the slide presentation. 
Neil Sorahan : Okay. Thank you, Michael. We see in the slides, a number of these before, so I’ll run through them relatively quickly. Ryanair has the lowest fares and the lowest costs of any airline. On-time performance continues to improve significantly with 96% within the quarter.  Our balance sheet remains strongest in the sector with BBB rating from Fitch and S&P and we improved our ESG credentials in the quarter with strong B minus rating from CDP. Importantly, we increased our Boeing order to 210 units ending December, which will deliver 200 million passengers by FY 2026. So our financial strength and our lowest costs will make us a long-term winner.  We have a large footprint across the Europe and we are already growing our new bases with Treviso and Beauvais announced, but some are more to come as we increase frequencies across the likes of Naples and elsewhere.  Our cost base from the inter cargos[Ph] was one of the strongest – the absolute strongest in Europe by a country mile and we are improving on this and we’ll continue to do so over the coming months. So that itself was a difficult quarter.  We saw our traffic drop by 78% to just over 8 million guests. The led to an 80% cost reduction in revenue down to €314 million and while we had a strong performance on our costs, down 63%. This unfortunately wasn’t enough to offset the lost revenue we lost in excess of €300 million in the quarter.  Our balance sheet, as I’ve already said, remains one of the strongest in the sector. We had €3.5 million in cash at the end of the quarter and 80% up our Boeing fleet is unencumbered at a conservative book value just over €7 billion. We are in a strong position to repay €1.5 billion in debt which matures over the next six months.  And with that, I will hand over to Michael for our current developments. 
Michael O'Leary: So, thank you, Neil. Let’s touch briefly on the – what we see as a current developments. Obviously, COVID-19 dominates everything. The uncertainty continues. But I think we just look to the medium-term, vaccines are coming, the roll out has been particularly successful in the UK and we are calling on the EU to catch up.  We are using this as an opportunity as our lower - lowest cost base – our lowest airline cost base. We are extending renegotiating our contracted staffs, airports, aircrafts and other supplies. We continue to make significantly substantial environmental congress. We are now the first airline ever received our first ever CDP rating of a B minus.  And the 737 firm order extension we announced in December. It could be critical to the future of Ryanair which allows us to keep for significant growth but at lower cost going forward. And we do see unlimited post-COVID-19 growth opportunities. But as Neil said, our FY 2020 guidance is now a loss of €850 million to €950 million net is pretty exceptional.  Just start basing on some of these vaccinations start to roll out in the UK in December, I think we are heartened by the fact that the UK expects now that the vaccination to be about 50% of its population by the end of March. Europe, sadly is likely behind to be expect. So we’ve had a 10% to this population done by the end of March. Back towards Europe – get in fact together and accelerate the vaccine roll out program.  Once 50% of the population is vaccinated however, that eliminates all the high risk of freeze in all regions for a continuation of travel lockdowns or restrictions at any time and we would certainly hope that that would pave the way for a reasonable recovery of traffic through the summer of 2021 into the winter of 2021, as well.  So environmental terms, as I said, we have, for the first time ever participated in the CDP environmental survey in 2020. We received a very strong first time B minus climate protection score. That’s one of the highest scores by any airline in the world. We’re particularly pleased that we’ve received an A rating for our environmental corporate governance policies and we are committed to proving our scores over the coming years.  Critical to that environmental performance in the next couple of years will be addition of taking delivery of the new Boeing 737 Gamechanger aircraft with 4% more seats, 16% lower fuel burn and a dramatic 40% reduction in noise. We’ve already cumbered in some detail with shareholders the new Boeing 737 Gamechanger aircraft and I keep going back to the key fundamentals here.  We extended the order. It’s now a firm order risen from 135 to 210 aircrafts. We’ve done so, thanks to a modest additional discount provided to us by Boeing and it means that we can securely look to a roll out of additional capacity over the next five years of lower cost aircraft with 4% more seats that for a 16% less fuel on a per seat basis going forward.  These will dramatically improve our efficiency, significantly lower our costs and make us an environmental – a greener, cleaner airline putting us well on track not just we achieve our environmental targets by 2030, but also giving us the capacity to grow 200 million passengers a year by the end of March of 2026.  It’s impossible at this point in time to know how that growth will evolve over the next twelve months. We are operating now in a range with traffic for this year will be somewhere between 26 million and 30 million passengers. We do expect to see a substantial recovery into FY 2022, a lot of that would be dependent upon the speed and success for the roll out of the vaccine programs, particularly in the UK, which is one of our base markets, but also across the other larger European markets, particularly like Spain, Italy, Portugal and recent demand on tourism.  I think at this point in time, we are looking, depending on the timing of that recovery carrying between 80 million to 120 million passengers over the next twelve months to March 2022, it’s impossible to gain more accurate and those numbers are also subject to change.  But there are very significant growth opportunities post-COVID-19. Eurocontrol has already predicted more airline failures in 2021. There are very steep and significant structural capacity cuts already announced by the European airlines. Many of our competitors will have significant impairment on their balance sheets and we are already seeing large traffic declines at major European airports leading to much more aggressive and much more innovative recovery growth incentive schemes and we hope to be able to participate in those.  Most notably, we’ve negotiated a four year extension of our ten year low-cost agreement at London Stansted Airport and we are also pleased to have been able to secure EasyJet’s Stansted slots for their seven base aircrafts when they closed the Stansted base this winter. That again gives us lots of room for growth and expansion in London, which will be one of the key markets in Europe, but also at one of London’s lowest cost airports, but most of our competitors will be operating at higher cost airports in Gatwick and Heathrow.  And what’s – to all this is that our low cost 737 aircrafts will facilitate significant growth and we expect that growth start from Q1 of FY 2022.  I am looking at to ask Neil, anything else on your side? 
Neil Sorahan : No. I got a thing up there for a synopsis. 
Michael O'Leary: Okay. So, we’ll then start into the Q&A session. Thank you. 
Neil Sorahan : Thank you. 
Unidentified Analyst: Why did you report a Q3 loss of €306 million? 
Michael O'Leary: It was primarily due to a 78% reduction in our traffic down to 8 million due to the lockdowns and travel restrictions throughout the quarter. As a result, revenue was down over 80%. Under what we had a good performance and ancillaries had a significant reduction in cost down 63%. This unfortunately wasn’t enough to offset the lost revenue and we reported the loss just over €300 million in Q3. 
Unidentified Analyst: Ancillary revenue per packs was up 2% in Q3, why? 
Michael O'Leary: Well the reserved seats and priority boarding performance strongly with those passengers and fluidness in the third quarter. But these and it’s offset weaker onboard sales partially due to low load factors as well. 
Unidentified Analyst: Was there fuel ineffectiveness charge in Q3? 
Michael O'Leary: Yes. There was. We had a €15 million exceptional charge in the quarter, primarily due to the reduced schedules in Q4 where we – with significant passengers and flights slightly offset by delays on aircrafts. 
Unidentified Analyst: Any update on your fuel hedging position for FY 2022?
Michael O'Leary: No. No change on the fuel hedge position into next year. We have approximately 40% of our fuel hedged for FY 2022 at around $50 per barrel. Slightly lower than current spot prices. 
Unidentified Analyst: How was your Q3 cost position on balance sheets? 
Michael O'Leary: With strong cash position of €3.5 billion cash at the end of the quarter. We continue with one of the strongest balance sheets in the sector. Triple B rating by Fitch and S&P. 80% of our fleet is unencumbered with a conservative book value up to 12% from €1 billion. So we are well placed to pay down €1.5 billion debt over the next six months. 
Unidentified Analyst: Gross cash fell by €1 billion since the end of H1. Why? 
Michael O'Leary: Well, it generally falls in the third quarter or even in a normal year. However, this year, we’ve seen an acceleration of passenger returns into the third quarter, particularly as more flights were short notice cancellation, particularly around the Christmas, New Year period as deferred rule charges from Eurocontrol became payable and due in the quarter and we are still continuing to fund ineffective fuel swaps which were second during the period.  However, I think the key message is, we still finished the quarter with a very strong cash balance of over €3.5 billion. I think that demonstrates the effectiveness of the cash management and cost reduction strategies we’ve been following since March 2020.
Unidentified Analyst: What cash preservation measures have you implemented? 
Neil Sorahan: Well, as Michael just said there, we’ve been working very hard on reducing cost within the business since the start of the pandemic. We participated in the various government support schemes all across Europe. We got rid of all non-essential CapEx, stopped the share buyback and tapped the capital markets back in September where we raised €1.25 billion through a combination of the share replacing and an 850 million Eurobond. 
Unidentified Analyst: Are you planning on raising additional capital before ending this year?
Michael O'Leary: We see – there are no rationale for additional capital or fund-raising. But like all good companies – well-managed companies we keep all options under review all the time. 
Unidentified Analyst: What are forward bookings looking like? 
Michael O'Leary: That booking curve is very low – thin at this point in time. It’s primarily driven by news flow around the likes of lockdowns, quarantines, testing and of course the roll out of vaccines and it probably remain the case for the next quarter. 
Unidentified Analyst: What is your CapEx guidance? 
Michael O'Leary: It largely depends on the timing of the Gamechanger deliveries this year. We’ve already agreed deferrals for the FY 2021 deliveries and the existing PDPs more than offset the near-term CapEx. We expect that those will ramp up CapEx from the second half of FY 2022. Peak CapEx will be delayed until FY 2023 and we should be in a position to give shareholders more color on CapEx at the full year results road show in May. 
Unidentified Analyst: What is your traffic forecast for FY 2021? 
Michael O'Leary: It was recently announced. We now expect traffic to be in a range of about 26 million to 30 million guests for the full year. I think the risk is more to the downside and the upside at this point in time which hardly is 70% load factors. But the key issue for us is to keep our pilots, our cabin crew and our aircraft crews and we are working on that. So we are ready for a ramp up into the summer. 
Unidentified Analyst: But you do anticipate for December 2021 ramp up? 
Michael O'Leary: Well, we are finalizing low-cost growth incentives with many of our airport bases. We are working hard at reassessing the aircraft and crew current during the existing Q4 and we are very much applying to the COVID restrictions. We hope to take delivery of up to 25 Gamechanger aircrafts before peak summer of 2021, but that depends on the EASA licensing the aircraft to return to service here in Europe. And we are continuing to invest in cabin crew training in Q4. This will increase staff cost in Q4 without having any flying for that staff. But that will enable us to capitalize on growth and recovery opportunities we believe in summer 2021 and beyond. 
Unidentified Analyst: Do you support pre-flight departure PCR testing or travel quarantines? 
Michael O'Leary: No, we don’t think any of those travel restrictions, A, are effective or B, are even implementable. I mean, we are yet to see any government in the UK or Ireland impose an effective quarantine. It’s clear to us that vaccines are the way forward and vaccines are the way over the – that the COVID crisis not travel restrictions, particularly for intra-EU travel. We expect that to recovery strongly in summer 2021. One, as the main tourism economies where we want to weather visitors in Spain, Portugal, Italy and Greece. And two, because of the successful roll out of vaccines, for example if 50% of the UK population already vaccinated by the end of March, there is really no reason to lock down or to quarantine UK visitors to those countries. 
Unidentified Analyst: What are the growth opportunities post-COVID-19? 
Michael O'Leary: Significant opportunities. We commit to grow with the lowest cost based any airline in Europe. We’ll have an even lower cost base coupled with a very strong balance sheet. So the time when there has been a significant airline failures, lots of capacity coming out of the market under the Eurocontrol, particularly in more failures. We’ve got airports clamoring [Ph] to restore capacity and to grow for the next few years and at the same time, we’ve increased our order with Boeing’s 210 Gamechanger units. And so I think we are well placed to grow to 200 million customers and 600 aircrafts by FY 2026 and to capitalize on the huge opportunity in the market. 
Unidentified Analyst: What is the group doing to lower its cost base? 
Michael O'Leary: Well, as I said, we’ve paid these pilots, cabin crew and engineers, pay cuts of between 5% to 20% over the next two years, which will then be restored over the following three years. Now that has been restructured and is now operating from Malta with a Maltese AOC. Growth discussions are ongoing with airports who are anxious to work with us to recover the traffic they’ve lost as the new Boeing aircraft deal will lower our new aircraft costs, particularly on aircraft that has 4% more seats and will burn 16% lower – less fuel. And last continue to outstanding work in – to lower our cost, lower our admin and operating costs. 
Unidentified Analyst: What is the current status of the state aid appeals? 
Michael O'Leary: We’ve already have a couple of cases heard at this point in time and we’d be hopeful of getting decisions in the spring. Most recently, we’ve appealed the unlawful state aid into Lufthansa and I think it’s hugely important that these unlawful state aid grants don’t go and challenge because they are having significant impact on leveling the playing field for competition in Europe and this is something that we’ll be working on for some time to come. 
Unidentified Analyst: How are the other group airlines developing? 
Michael O'Leary: Well, they are developing well. But they are all so do with the same COVID restrictions that Ryanair is. But Buzz based in Poland now operates 50 aircrafts. Malta Air based in Malta is operating 120 aircrafts, the Lauda Fleet now again based on Maltese AOC is operating 29 A320s. And all group airlines continue to daily basis review costs and preserve cash. 
Unidentified Analyst: You made good environmental progress in Q3, what it highlights? 
Michael O'Leary: Yes. We are very proud of our environment achievements over the past quarter. We’ve just paid for the first time in the CDP climate protection survey a reward of the strong B minus, which I think is a credit to what we are doing. We are particularly pleased that we were rated A for the environmental corporate governance within Ryanair. But there is a lot more to do and we hope to improve on this rating over the next year or two and then be with the new Gamechanger aircrafts starting to come in with 16% lower fuel burn, lower CO2 and lower noise emissions. I think that will help us achieve our ambitious targets of reducing CO2 per passenger kilometer by 10% by 2030. We’ve also made significant strides in removing plastic from onboarding the aircraft and 80% consumables are now plastic-free. And so, a lot done, bit more to do. 
Unidentified Analyst: When you are expecting the first delivery of the Boeing Gamechanger aircraft? 
Michael O'Leary: All going well. We would hope to take the first aircraft into our fleet in Q4 with potentially up to 24 in advance of peak summer, we welcome the access on grounding of the MAX in Europe last week. And now the Gamechanger is going through a certification process which as I said, will hopefully see 24 deliver at peak summer where we came to get these aircrafts into the fleet with a phenomenal performance of 4% extra seat, 16% lower fuel burn and will be a key player in our growth over the next decade. 
Unidentified Analyst: Where are you intending to position these new aircrafts? 
Michael O'Leary: The first 24 aircrafts are spread between Ryanair, Buzz and Malta Air at our bases across Europe. We are taking at least six aircrafts painted in the Buzz colors and five aircrafts painted in the Malta Air colors. But they would be spread across their main bases this summer. 
Unidentified Analyst: What are the group fleet terms? 
Michael O'Leary: Well, in short-term, we are hoping to take 24 Gamechangers into fleet in the peak summer. This will help offset the 2021 retirements of older aircrafts before the end of this year. We already delivered seven aircrafts for current version, part of the deal that we agreed 2109 pre-Christmas and 14 older leases maturing over the next number of weeks and months, which would be exiting the fleets. We’ve capped out the A320 fleet to 29 aircrafts and thanks to the increased order with Boeing pre-Christmas, we take 210 Gamechangers between now and the FY 2026. Sub growth fleet 600 aircrafts adapt through the time of 200 million customers. 
Unidentified Analyst: What are the scheduled plans for summer 2021? 
Michael O'Leary: And they are very fluid at the moment as the COVID-19 restrictions are continuously changing. The schedule teams are revising the summer 2021 schedules on a weekly basis. As long as there is significant uncertainty over COVID-19 travel restrictions, and where the speed of the vaccine roll out in the UK and Europe there will be heightened level of uncertainty. The booking curve is – is very closing at the moment. We are way behind what would normally happen to forward booking due to summer 2021, but as we’ve demonstrated over the last nine months, we can flex our schedules pretty quickly up or down in response to changing demand conditions. I am personally confident that as more vaccines are licensed, we’ll see a much more aggressive and rapid roll out of vaccines in February and March and I think we will – there will be positive news in terms of this race and speed of vaccine roll outs and reductions in travel restrictions, particularly for the peak summer months of 2021. 
Unidentified Analyst: What’s the group’s guidance for FY 2021?
Neil Sorahan: Well, this year continued to be the most challenging in our 35 year history. As I’ve already said, we anticipate that our full year traffic will be in a range of 26 million to 30 million, although the risk is very much to the downside at that range with no visibility on yields and forward bookings and with a huge amount of uncertainty in the market around lockdowns and the roll out of vaccines, we are cautiously guiding a full year loss in the range of €850 million to €950 million pre-exceptional items. But I think when you look beyond the current COVID crisis, we are coming out of this with a very strong balance sheet and the lowest cost base. In Europe, we are taking the Gamechangers at the right time and there is lots of growth opportunities for us. 
Unidentified Analyst: Can you provide any traffic guidance for FY 2022? 
Michael O'Leary: It’s obviously possible at the moment. We have got a very wide range of traffic projections ranging currently from 80 million passengers to 120 million passengers. That’s significantly down on what we would take on normal year is 150 million passengers. And we think the recovery will be slow into Q1, accelerating into Q2 and then we are hoping that with the widespread vaccinations in place by September of next year, that Q3 and Q4 will be growing at somewhere between 70% to 90% normal. But that’s why the traffic guidance at this stage is so wide and with such a wide traffic guidance, it’s impossible to give any accurate range of earnings guidance at this point in time. We hope to be in a position to provide a much more – or hope to have a much more accurate update or a better guesstimate of our full year results in May. 
Unidentified Analyst: Mike and Neil, thank you. 
Michael O'Leary: Thank you. You are welcome.